Operator: Good afternoon, ladies and gentlemen. My name is Angela, and I will be your host operator on this call. After the prepared comments, we will conduct a question-and-answer session. Instructions will be provided at the time. [Operator Instructions] Please note that this call is being recorded on November 4, 2020, at 5 o’clock p.m. Eastern. I’d now like to turn the meeting over to your host for today’s call, Adam Terese, Director of Corporate Development and Investor Relations of Workiva. Please go ahead.
Adam Terese: Good afternoon. And thank you for joining us for Workiva’s third quarter 2020 conference call. Today’s call has been prerecorded and will include comments from our Chief Executive Officer, Marty Vanderploeg; followed by our Chief Financial Officer, Stuart Miller. We will then open the call up for a live Q&A session. Jill Klindt, our Chief Accounting Officer is on the call. A replay of this webcast will be available until November 11th. Information to access the replay is listed in today’s press release, which is available on our website under the Investor Relations section. Before we begin, I would like to remind everyone that during today’s call, we’ll be making forward-looking statements regarding future events and financial performance, including guidance for the fourth quarter and full fiscal year 2020. These forward-looking statements are subject to known and unknown risks and uncertainties. Workiva cautions that these statements are not guarantees of future performance. All forward-looking statements made today, reflect our current expectations only and we undertake no obligation to update any statement to reflect the events that occur after this call. Please refer to the company’s annual report on Form 10-K and subsequent filings for factors that could cause our actual results to differ materially from any forward-looking statements. Also, during the course of today’s call, we will refer to certain non-GAAP financial measures. Reconciliations of non-GAAP to GAAP measures and certain additional information are also included in today’s press release. With that, we’ll begin by turning the call over to our CEO, Marty Vanderploeg.
Marty Vanderploeg: Hello, everyone, and thank you for joining today’s call. We made great progress in our third quarter. The global trends of online collaboration and remote work continued to benefit Workiva. Customers use our cloud platform to simplify their complex work by connecting data and teams, and by automating and streamlining processes. Financially, we exceeded guidance for revenue and operating income. We delivered more than 20% growth in subscription revenue and generated record bookings. In particular, we saw strong bookings in global statutory reporting, management reporting and capital markets. As a result, we are raising guidance for the fourth quarter. Stewart will provide details later in the call. In Q3, we continue to upgrade customers through our next-generation platform. Customers accounting for over 90% of our annual contract value are now utilizing our new platform. Next-generation Workiva platform is a key enabler for our growth strategy. Our new platform is more open, intuitive and scalable. We can now more quickly build and deliver new fit for purpose solutions that solve specific business problems. We believe delivering new platform extending solutions will continue to drive our success. Our virtual marketing events continue to produce positive results in terms of record attendance, global reach and targeted sales leads. In September, 6,000 customers, prospects and partners from over 60 countries participated in Amplify, our annual user conference. Our virtual sessions focused on solving universal challenges around data, workflow and complex reporting, and last month 76 key technology and advisory partners joined us for our Annual Partner Summit. Our summit addressed how partners can better leverage our platform with their deep domain expertise to develop high value solutions. We expect our partners to drive an increasingly higher percentage of our future revenue growth. I would like to take this opportunity to thank our employees for supporting our customers and upholding our values based culture, even in the face of a challenging 2020 that delivered our next-gen platform, upgraded our customers and generated strong sales growth. In closing, we remain confident in our ability to capitalize on our new platform, as enterprises continue to move to the cloud. With that, I will turn the call over to Stuart Miller.
Stuart Miller: Thank you, Marty. As mentioned on our last call, we began to see a more predictable cadence to closing deals at the end of the second quarter, suggesting that our customers and prospects were settling into a new normal. That pace accelerated in the third quarter across a broad range of our solutions, particularly global statutory reporting, management reporting and capital markets. Both transaction volume and average deal size came in above our expectations in the third quarter, doing so with almost no help from price optimization. As a result, we are raising guidance for Q4, which I will discuss later. Before covering our Q3 financials, I want to provide an update on a regulatory matter. On October 21st, the European Union granted its member states the option to delay compliance with the ESEF mandate for one year to help companies free up resources for more urgent pandemic related matters. We expect all EU member states to exercise the option. The one year delay has had no material impact on our outlook for EMEA. Turning now to our financials. As always, I will talk about our results and guidance on a non-GAAP basis. Refer to our press release for a reconciliation of our non-GAAP and GAAP results and guidance. I’ll address our performance against Q3 guidance first. We beat Q3 20 revenue guidance at the midpoint by $3.5 million. Higher subscription revenue accounted for most of the beat. We succeeded in collecting a high percentage of the receivables that we had held in reserve at the end of Q2. The pandemic had less of an impact on selections that we had anticipated in June. In addition, we closed more deals early in the quarter, and we sold and delivered some capital markets deals within the quarter. We beat guidance on Q3 operating income by more than $9 million. The revenue beat I just mentioned accounted for just over a third of the swing. The remainder of the beat relative to guidance included lower travel and entertainment costs, reduce expenses from shifting marketing and internal events to a virtual format, recovery of bad debt expense, higher PTO usage and decreased occupancy costs. Now turning to a comparison of Q3 2020 to Q3 last year. We generated total revenue in the third quarter of $88.1 million, an increase of 18.8% from Q3 2019. Breaking out revenue by reporting line item, subscription and support revenue was $75.9 million, up 20.4% from Q3 2019. New logos and new solutions help drive strong revenue growth in Q3 2012. 51% of the increase in S&S revenue in Q3 came from new customers added in the last 12 months. The balance of the increase came from companies who’ve been our customers for more than a year. Professional services revenue was $12.2 million in Q3 2020, an increase of 9.8% from the same quarter last year. Setup and consulting accounted for the gross. Turning to our supplemental metrics. We finished Q3 with 3,583 customers, a net increase of 129 customers from Q3 2019 and a net increase of 71 customers from Q2 2020. New customers subscribing to an ESEF solution accounted for 20% of the gross number of new logos in the quarter. Our revenue retention rates remain strong. Our subscription and support revenue retention rate was 94.9% in the third quarter of 2020, compared to 94.5 for the same period last year. Consistent with our experience over the long-term, almost half of the attrition in the quarter came from M&A, delistings and bankruptcies. With add-ons, our subscription and support revenue retention rate was 110% for the third quarter of 2020, compared to 112.8% in Q3 2019 and 107.9% in Q2 2020. The number of larger subscription contracts continues to increase. In the third quarter of 2020, we counted 785 contracts valued at over $100,000 per year, up 28% from Q3 the prior year. The number of contracts valued at over $150,000 total 383 customers in the third quarter, up 47% from Q3 2019 results. Moving down the P&L. Gross profit totaled $66.9 million in Q3, up 25.6% in the same quarter a year ago. Consolidated gross margin was 75.9% in the latest quarter versus 71.8% in Q3 2019, a net expansion of 410 basis points. Breaking out gross profit, subscription and support gross profit totaled $64.3 million, equating to a gross margin of 84.7% on S&S revenue and expansion of 140 basis points compared to Q3 2019. Professional services gross profit in the third quarter was $2.6 million, equating to a 21.6% gross margin, compared to 7% in Q3 2019. Research and development expense in Q3 totaled $21.8 million, up by 0.6% from Q3 2019. R&D expense as a percentage of revenue improved to 24.7% in Q3 2020 and 27.8% in Q3 2019. Sales and marketing expense for the quarter increased 6.5% from Q3 2019 to $32.8 million. Savings on T&E and a shift to virtual marketing events partially offset higher expenses from headcount growth in our sales team. General and administrative expenses totaled $8.7 million in Q3, up $600,000 compared to Q3 2019. G&A expenses as a percentage of revenue improved 110 basis points to 9.8%. We posted an operating profit of $3.6 million in Q3 2020, compared to an operating loss of $6.3 million into Q3 2019. Turning to our balance sheet and cash flow statement. At September 30, 2020, cash, cash equivalents and marketable securities totaled $524 million, an increase of $15.3 million compared to the balance at June 30 2020. Net cash provided from operating activities in Q3 2020 totaled $7.8 million, compared with cash provided of $4.7 million in the same quarter a year ago. At September 30, 2020, we classified $5.2 million of receivables to a credit reserve account, up from $4 million of receivables at September 30, 2019. This reserve account reduced deferred revenue by an equal amount, and therefore, it reduced billings at the end of the quarter. Remaining performance obligations on subscription contracts continue to vary from deferred revenue, as we implement multiyear contracts with annual billing terms for some customers. Turning to our guidance. We are factoring in the expected impact of the COVID-19 pandemic on our business and results of operations based on information available to us today. For the fourth quarter of 2020, we expect total revenue to range from $90.2 million to $90.7 million. We expect subscription revenue to grow at a faster rate than services revenue in Q4. As a reminder in Q4 2019, we posted a one-time increase of $2.5 million in professional services revenue due to a regulatory change. We expect non-GAAP operating income to range from $500,000 to $1 million in Q4. For the full year 2020, we expect total revenue to range from $348 million to $348.5 million. We expect non-GAAP operating income to range from $3 million to $3.5 million. Turning to 2021. On a preliminary basis, we expect total revenue to exceed $401 million in 2021. We expect the growth rate of subscription and support revenue to continue to outpace the growth rates of professional services revenue. We expect non-GAAP operating loss as a percentage of revenue to be a low single-digit in 2021. We plan to offer detailed guidance on our outlook for 2021 on our next call. We will now take your questions. Operator, we are ready to begin the Q&A session.
Operator: [Operator Instructions] And your first question is from the line of Terry Tillman with Truist. Please go ahead.
Terry Tillman: Hey. Good afternoon, gentlemen. Can you hear me okay?
Marty Vanderploeg: Yeah.
Stuart Miller: Yeah. Terry, we can.
Terry Tillman: Yeah. Well, congrats on the improving trends. It’s really good to see some of these KPIs in the billings and RPO. My first question, though, just relates, maybe just a little bit of an education for me or just an update, but you call out global statutory reporting and management reporting and capital markets activity? Could you maybe kind of stack rank those in terms of, are there notable differences typically in the deal sizes for those use cases? And do those -- are those prominently kind of positioned in your guide for next year or are there anything else that kind of comes online that’s notable next year beyond these three items that you called out? And then I have a follow up?
Marty Vanderploeg: Go ahead, Stuart.
Stuart Miller: So, Terry, I’d say, global stat is -- and most of the deals are six figures, some middle six or high six figures, for sure. Management reporting has got a pretty wide range, depending on the use case, the size of the customer and so forth, and then capital markets is sort of typically low -- low six figures. There are -- we got good contribution from integrated risk and a number of other use cases, and we expect that to continue into next year. We just call those out, in particular, because they were performing above expectation for the quarter.
Terry Tillman: Okay. And just takes that third, I guess, the follow up question. I don’t know if this is for you Marty, but seeing the big federal sector deal this past quarter. I’d like to hear more in terms of, how that kind of came about, what factored into kind of the decision to go with you guys there and how the federal sector and public sector is looking in general, and thank you.
Marty Vanderploeg: Well, I would say that, the thing that has really changed for us and we alluded to that is, we spent four years re-architecting our platform. We have a true platform now, and so when we go into something like Department of Justice, we talked about all the different uses of the platform that being financial reporting, internal controls, all sorts of different things that they have to do. And so they really view it as buying a platform for a lot of different functions. And they really don’t now almost all the government agencies we’ve run into are still using word and excel. So it’s a pretty natural sell. The outlook is right now, of course, everything’s locked up. But the outlook is, it looks good, but it’s very lumpy. It’s a lumpy business, it also -- as of end of September spike every year. So it’s -- but we’re very optimistic about it.
Operator: And your next question is from the line of Chris Merwin with Goldman Sachs. Please go ahead.
Chris Merwin: Okay. Thank you so much for taking my question. I wanted to ask about, I guess, that -- you mentioned on the call, there’s a delay with ESEF compliance for about a year, but same time, we saw a 20% of new logos come from customers adopting an ESEF solution. So as we think about the impact of this, how would you say it impacts pipeline build, perhaps even in a positive way or deal close rates in that region in the coming quarters. Just trying to get a sense, if this actually helps you in some way by being able to initiate more conversations or how best would you describe the impact? Thank you.
Marty Vanderploeg: The -- You know, Stuart. This is Marty by the way. Stuart did say it didn’t affect our outlook for EMEA next year. What we’re seeing is, companies are, they realize they still have to do this. ESEF has been delayed one year because of COVID. That’s sort of a story. And they know they have to do it. They’re partway down the path of due diligence and learning what they have to do. And we really -- we’ve been continuing to close ESEF deals even after the announcement. So we really don’t see that as changing our trajectory. I think if anything, the type of competitors we have, there are very small companies that were more or less starting for this business and if it’s going to hurt anyone, it’s going to hurt them more than us. And I think it is true, we will be able to have more conversations. It will be less rushed. And so I think, in general, it certainly is neutral and it could potentially be positive.
Chris Merwin: Okay. Great. Thank you. And maybe just a quick follow up on the billings number, obviously, super impressive in the quarter and there’s a big build up and defer that we saw on the balance sheet. So was there anything abnormal there in terms of pull-forward or anything like that or was it just a really healthy execution, in terms of closing a business?
Stuart Miller: It was -- as Marty indicated in his talk, it was a record quarter for bookings and it was strong throughout the quarter. And so there was really nothing unusual going on other than just really good execution.
Chris Merwin: Great. Thank you.
Operator: Your next question is from the line of Stan Zlotsky with Morgan Stanley. Please go ahead.
Stan Zlotsky: Perfect. Thank you so much, guys, and congratulations on a very strong quarter. So maybe just following up on Chris’s question, the strength of the quarter and I think it really surprised a lot of people to the upside is mainly manifesting in billings. And you mentioned that you had a lot of deals closing in the beginning of the quarter. Was there some essentially maybe pent-up demand from the Q1 and Q2 delays that ended up closing early in Q3 and driving some of the deferred revenue build?
Marty Vanderploeg: Stuart, go ahead.
Stuart Miller: Yeah. So definitely Stan there was some -- we think there was some pent-up demand. We were heartened, though, that the pipeline, we’ve been carrying a big pipeline all year and we were seeing the pipeline continuing to build and we -- we’re bringing a big pipeline into the fourth quarter. So, that’s why we’re optimistic.
Stan Zlotsky: Okay. Perfect. And maybe a quick follow up. You -- obviously, we all saw the very strong capital markets activity, with so many IPOs coming public in the summer and into the early fall. Can you help us characterize, how much of that if it all material helped Q3 and maybe your outlook for the rest of this year? And how are you thinking about that activity going into 2021?
Stuart Miller: Sure. So I think that -- it’s fair to say that companies going public are increasingly seeing the value of our platform. And part of that is the fact that they’re working remotely and trying to do deals remotely. And certainly, some of the more progressive law firms are embracing it, which good thing. It -- we had a very strong IPO market in Q3 and we’ll see what kind of impact if any of this election has on Q4? It’s not -- percentage wise, it was a big, but it -- in terms of dollar contribution for deals that were sold and delivered within the quarter, not a big number.
Stan Zlotsky: Got it. Thank you much guys.
Stuart Miller: Less than a $1 million. Thank you.
Marty Vanderploeg: I will just add to that, all of our solutions saw increased strength. I mean, we this is across the Board execution, I would say, so it was anyone one anomaly.
Stan Zlotsky: Right. That makes a lot of sense. All right. Thank you so much.
Operator: Your next question is from the line of Tom Roderick with Stifel. Please go ahead.
Tom Roderick: Hi, gentlemen. Thank you for taking my questions. Great to hear from you. I love to go back to Chris’ question earlier just around Europe and appreciating the 20%, instead of the new logos are coming from the ESEF related. Can we just take a step back in Europe and I don’t know if this is a better question for you or for Marty, but I’d love to just hear a little bit more a holistic discussion of what’s going on in Europe relative to market awareness and with Wdesk solution. How many customers are coming to you simply because of ESEF readiness versus just broader awareness of the overall solution base? And I guess the third part of that is just, where are you at with regards to hiring the sales team over there, go-to-market? How fast do you need to build that? I know that’s a lot in there. But maybe the broader question is, just talk to us a little bit about Europe, what’s happening aside from just ESEF?
Marty Vanderploeg: Sure. This is Marty. I would just to touch on it, first off, we built up the EMEA sales team in the last two quarters of 2019 and the first quarter of this year. And got -- we’re able to fill the positions we needed to fill. They are now maturing and getting into more productivity. So we’re very pleased with that growth aspect. So we’ve gotten the sales team we need there for the near-term. In terms of awareness in Europe, I -- it’s really important to understand. Stuart has been very consistent saying, EEF is upside in terms of how we think about things. We sell annual reporting, we sell management reporting, we sell integrated risk there, we sell some other regulatory things for banks, we have very large banking customers in Europe. And so we’re definitely getting to the point where people know who we are. There’s still a tremendous amount of opportunity there, because it’s still a small revenue number and as you know, the EU is close to the same GDP as the U.S. So it really is a big opportunity for us. And the ESEF, the nice thing about ESEF was it did drive platform conversations. But we’re still seeing that happen. When people understand that we’re sort of a premium end of that in that we have not only the ability to produce the ESEF regulatory document you have to submit, but we have entire platform to pull the data out of your systems of record, pull away to create the report and then output it. That’s really what’s driving our success there, not the fact that we can file a document. I would say this, though, that has enhanced our conversations. But the top end of that mark at the top more than half. This is something they know they’re going to have to do. They’re looking for a solution that has legs and it’s going to be around for a while. It helps them with the entire problems. So ESEF is not really that big an issue for us there in terms of the delay.
Tom Roderick: Yeah. That’s good color. And Marty, if I could just stay on sort of go-to-market and sales execution, I suppose it would be a little bit tempting to look at the last couple of quarters, where you have had great bookings, great commentary on the broader market, say, okay, good, the market has recovered and the environment has recovered. But on the other hand, it seems like, perhaps your sales execution has improved and knowing that you handed the reins over to Julie on that front a couple quarters ago, I would love to just hear a little bit more about any changes that Julie made with respect to go-to-markets? What you’re seeing on a sales execution perspective and what that means in the future?
Marty Vanderploeg: Well, I think, you’re spot on. I think that, obviously, the -- our customers have adapted to the new normal is, as Stuart said. But also we have gotten much more focused. Julie’s brought us a lot of discipline in terms of using metrics, not just in sales, but across the whole organization to really understand how we’re optimizing all of our teams. And then we did change out sales management. She -- we promoted an insider to take over North American sales and he’s been doing a fantastic job. So there’s a little bit of everything there. But in terms of optimizing everything in the company, but certainly, Stuart’s point about, we have a strong pipeline that’s continuing to grow, is why we have the optimism we do it. This isn’t a one-time catch up thing. We really do see strength in our pipeline and strength in terms of larger deals, which is a reflection of the fact. We actually have a modern platform now that we can do a lot of different things with and customers understand it and partners understand it, so all of those things fuel the fact that we’re seeing bigger deal sizes and a stronger play.
Tom Roderick: Yeah. Wonderful. Really helpful commentary. Appreciate it. Congratulations.
Marty Vanderploeg: Thanks.
Operator: And your next question is from the line of Brian Peterson with Raymond James. Please go ahead
Brian Peterson: Good evening, gentlemen, and congrats on the strong results. So I wanted to dig into the booking strength a little bit. I know you’ve had a lot of build up and expanded relationships with your partner channel. Any commentary on how the partner channel went this year or contribution in the quarter. Any color on that?
Marty Vanderploeg: Sure. I’ll give you some color. Certainly, partner contribution is becoming meaningful. I mean, we are -- it’s actually becoming a meaningful part of our go-to-market, our new sales. Remember, we’ve talked about the fact that we’re behind the normal life cycle of a partner involvement for a company our size, mainly because we just rebuilt our platform. And now that our platforms rebuilt, they have many more opportunities to make money. Our partners can see all the different ways and all different solutions, and they’re starting to bring solutions to us. Our partners are saying we could use it for this solution. They help us build it out and then they take it to their client base. So we’re seeing good progress. Obviously, we want to see partners involved as much as possible, not only to accelerate and grow the size of deals, but also to deliver them. And we’re definitely looking to have partners be the primary means of delivery for our solutions. And of course, if they -- if they’re going to take us into other markets, markets they’re more familiar with, that’s a very cost effective way for us to move into certain markets. There’ll be certain markets where we don’t go unless we have a partner. So we’re making good progress. We have a long way to go. I think there’s a lot of upside in terms of a partner development for the company. But we’re making good progress.
Brian Peterson: Good to hear. And Marty, maybe a follow up, I just -- you maybe referenced that the platform. Just as you thinking about future R&D investments. How are you thinking about adding to that maybe from an organic or inorganic investment? Thank you.
Marty Vanderploeg: Well, I would say that, now that our platform has been delivered and we have -- I want -- it’s really important for me, 90% of our recurring revenue or the annual contract value has moved to our new platform. That was a huge feat. I mean, we -- you talk to companies to move customers from one platform to another and actually our retention rate was higher than a year ago. So, that’s really a substantial accomplishment. And on top of that, it’s enabling us just to do bigger deals, to build the pipe and, and to really involve our partners.
Brian Peterson: Great. Thanks a lot.
Marty Vanderploeg: I forgot the second part of your question. Give me -- what was that?
Brian Peterson: Oh! I was just saying great to hear. But, no, go ahead.
Marty Vanderploeg: No. I forgot the second part of your question. You had a two part question.
Brian Peterson: Oh!. No. I just said, would you start think about M&A…
Marty Vanderploeg: Is that…
Brian Peterson: … and any target [inaudible]
Marty Vanderploeg: Yeah. I apologize. The R&D investments, because we delivered the platform, we’re now in a really great place to develop fit-for-use solutions, I alluded to that. Every time we bring a new fit, a specific solution to a market gives our sales team a whole new vein of potential new bookings. And so we’re going to use a significant amount of our R&D dollars to develop those new applications. Now most of that money when we develop new applications also builds on our platform. So it really helps not only the -- having fit-for-you solutions that our salespeople can sell, but it also continues to expand and create more value in our core platform. So that’s how we’re going to optimize the use of that R&D going forward.
Brian Peterson: Great. Thank you.
Stuart Miller: Brian, let me jump in. Brian, because you’ve asked specifically about inorganic or M&A as it related to R&D. It’s certainly an important stream for us when we’re looking at acquisition opportunities about how well the technology could integrate with our platform and that naturally leads us to a buy versus build analysis. But as Marty indicated, the new platform is in great shape and is much improved in terms of its ability to integrate with new software. So it’s -- to give you this broader latitude. But by the same token, it’s also easier for us to build on and so it’s a higher bar to chin when it comes to build versus buy.
Brian Peterson: Good color. Thanks, Stuart.
Stuart Miller: Yeah.
Operator: And your next question is from the line of Rob Oliver with Baird. Please go ahead.
Rob Oliver: Hi. Good evening, gentlemen. Thanks for taking my question. Marty, one for you, and then Stuart, I have a follow up for you. I - on -- just on the platform, there’s been a lot of discussion of it and it really sounds as if, some customers are really waking up to what they can do with the platform and that’s resulting in nice spike in the outlook that we saw this quarter and our checks has certainly been positive on it. So I’d love to hear in particular on the extensibility comment that you made. I know you guys have talked a bit about the FERC and some other markets. Just I was wondering if we can get an update and you talk a little bit about some of the R&D dollars going that way. But perhaps an update on the FERC opportunity and any other opportunities you guys might be eyeballing right now?
Marty Vanderploeg: Sure. The FERC opportunity is really a good opportunity for us for two reasons. One is that, we had to do almost no modifications to the platform rather than put a different taxonomy in it for the XBRL. So it was a really natural market to go to. Second off, it gives us entry into a whole bunch of new companies that are private and we haven’t had as much exposure to. So we do it -- it’s obviously a substantial amount of potential revenue for us. But more importantly, it’s a good example of how the platform can be used with almost no R&D investment and then it also gets us into a whole another set of companies, mainly private energy companies that we didn’t have access to before in terms of some opening offering. So, yeah, FERC has been a really good example. The best example that, we’re -- we feel comfortable talking about now is, is global statutory reporting. That has been just a wonderful experience. We put it through a very structured incubation program. We learned how to sell it before we invested. We figured out who the competitors were. Did the whole incubation process and now we’re -- and obviously the result was very positive. When we went to market, we knew how to message, we know how to sell it, we knew what the price points should be, what the willingness to pay was and it was very successful. Now we have several other solutions in that same incubation process. I really don’t like to talk about them, but number one, we verify we’re going after them. Number two, I don’t want to alert competitors. But the fact that we’ve built a more structured incubation program and the success we’ve seen with global statutory reporting really bodes well for us in the future.
Rob Oliver: Great. That’s very helpful color. Appreciate that. And Stuart, you made a comment about, some higher sales headcount in the quarter. And I think that was in Europe or was that the tail end of Europe hiring or were you guys already done, and if not, anything about that, that we can flesh out with North America or -- and will there, I know the general sales force will, it sounds like they’ll be the ones going after these more specialized opportunities that come from the extensibility of the network? But would you add on vertical sales people in some instances as well as if needed? Thanks very much, gentlemen.
Stuart Miller: Sure. So, as Marty indicated, we started the hiring of quota heads in EMEA at the beginning of the third quarter last year and then carried it through the second quarter of this year. So it took us about a year. And so the comparing third quarter of this year to third quarter of last year, we have higher headcount a result of that, because we just didn’t have those heads on our books of third quarter last year. There have been some hiring in the U.S. as well. So that -- I think that answers that particular question. In terms of selling the extensibility, I think that’s a responsibility of all of our sales teams. We have some that are specialized on some particular solutions, but our account owners are trained to sell the broader platform.
Rob Oliver: Thanks again.
Operator: And your final question is from the line of Mike Grondahl with Northland Securities. Please go ahead, sir.
Michael Pochucha: Thanks. This is Michael on for Mike. Thanks for taking the questions. Maybe just on APAC, is there anything new to call out there last couple quarters. It -- I know it’s still early, but any color there?
Marty Vanderploeg: It’s early or we’re getting some wins there and we’re slowly building on a team much like we did in EMEA several years ago. We want to get some reference customers, our use cases polished up or want to do there, develop the partner relationships. But that’s going really well and like you said, it’s very early days, but we’re accomplishing what we wanted to do there. So it’s -- we -- the new platform has localization for some of the more local languages. So that’s enabled us to really get serious about it. But up till now we’ve we’re pretty much on track.
Stuart Miller: I would add one thing, which is the focus on distribution in APAC has really been around partner enablement. That’s really where we’ve been focusing our sales efforts. There certainly partner enablement in EMEA too, but there’s also big direct sales team in EMEA.
Michael Pochucha: Got you. Helpful. Thanks. And just in the queue under kind of the industry breakdown. So needing to call, there were some of the harder hit industries, whether that’s commercial real estate or hotel travel, travel and stuff or is it pretty broad based where you’re not seeing much of an impact?
Stuart Miller: So, we’re obviously not selling a lot to airlines these days or the to the hotel companies. But we did -- we do tend to skew on larger, among our customers, some of the retail REITs have also been hit, but it is really not translated into any meaningful impact on our financials.
Michael Pochucha: Got you. Thanks.
Operator: And there are no further questions at this time. I would like to turn the call back to management for closing remarks.
Marty Vanderploeg: Just like to thank everybody for joining and remind the group that we have Investor Day scheduled for November 19th and hope to see you there. Thank you.
Operator: Ladies and gentlemen, this does conclude today’s conference call. Thank you for participating. You may now disconnect.